Sean Menarguez: Good afternoon, everyone. My name is Sean Menarguez, and I'm an analyst on the MaxCyte team. Thank you all for participating in today's conference call. On the call from MaxCyte, we have Doug Doerfler, Chief Executive Officer; and Amanda Murphy, Chief Financial Officer. Earlier today, MaxCyte released financial results for the third quarter ended September 30, 2021. A copy of the press release is available on the company's website. Before we begin, I need to read the following statement. Statements or comments made during this call may be forward-looking statements within the meaning of federal securities laws. Any statements contained in this call that relate to expectations or predictions of future events, results or performance are forward-looking statements. Actual results may differ materially from those expressed or implied in any forward-looking statements due to a variety of factors, which are discussed in detail in our SEC filings. The company undertakes no obligation to publicly update any forward-looking statements, whether because of new information, future events or otherwise. And with that, I will turn the call over to Doug.
Douglas Doerfler: Well, thank you, Sean, and good afternoon, everyone, and thank you for joining MaxCyte's third quarter earnings call. I will begin with a discussion of our business and operational highlights during the quarter, and then we'll follow with a detailed financial review from Amanda. We'll then open up the call for questions. I'm very excited with our performance in the third quarter of 2021, our second time reporting as a NASDAQ-listed company. During the quarter, we continued to deliver on all financial and strategic aspects of our plan as the premier cell engineering platform technology, supporting the development of advanced cell-based therapeutics. Amanda will provide more details later in the call, but I note that we realized very strong third quarter results, as outlined in the press release published earlier today, driven by strong performance in our core cell engineering business as well as substantial SPL, which is strategic platform license CARMA related revenue recognized during the quarter. To summarize, total revenue was just over $10 million, representing a 50% growth compared to the same period in 2020. Our core instruments and disposables business grew 25% in the quarter, which lines up with our historic 5-year CAGR of 25%. We also recognized $2 million in pre-commercial clinical milestone revenues from our strategic platform, licensed commercial partners. This was well above our expectation for $1 million in SPL related revenue for the remainder of the year, which we communicated last quarter. Revenue recognized from our SBL partners in the quarter was a result of multiple clinical milestones recognized in the quarter, some of which were recognized earlier than we initially anticipated as our partners achieve clinical development progress. So to preempt any specific questions about the specific drivers of milestone revenues during the Q&A session and as we have previously indicated, to ensure the confidentiality of our partnership agreements, we will be unable to answer any questions related to the SPL partners and progression of their program specifically. We believe the key takeaway is that this quarter's performance shows the power of our business model and our ability to share in the economics of our partners' ongoing clinical success. Investment into innovation in next-generation cell therapies has been explosive and continues at a high level throughout 2021. We have all seen the reality of regulatory uncertainty in this space as developers navigate a new world of advancing novel cell therapy approaches through the clinic, but we have also seen powerful data updates and progression toward approvals for next-generation cell therapies. And consequently, this quarter's results show the potential for MaxCyte to participate in that progress. While we expect our partners to evolve their broader pipelines over time, more importantly, we have not seen any change by our partners and their intentions to invest in cell -- ex vivo cell therapies. To support this, we have seen continued growth in our SPL partner base as we believe MaxCyte's proprietary electroporation platform provides both the scalability and high-performance that is essential in supporting the development and manufacture of complex next-generation engineered cell therapies in a cGMP compliant environment. MaxCyte's value continues to be further validated by our expanding customer base, including the ongoing success we have had in signing SPLs, with 4 of these arrangements signed year-to-date as well as the value of our FDA master file and equivalent technical files outside the U.S. We now have signed 15 SLs signed after adding Sana Biotechnology in the third quarter and InCarda Therapeutics announced earlier this month. We continue to build a burgeoning pipeline of SPL partner opportunities across a variety of cell types approaches and indications in ex vivo cell therapy. From an investment and growth acceleration perspective, we're committed to investing in the business and as such, have focused on refreshing and refining our long-term strategic plan. We intend to ramp investments in our research and development and sales and marketing competencies to take advantage of opportunities we see in this space to provide added value to our customer base. This includes expanding our manufacturing footprint as our partners move closer to potential commercialization. We are moving into a 67,000 square foot facility in 2022 and are working to further in-source key elements of our manufacturing process, particularly around processing assemblies. We're also making significant investments in our process development lab, which will benefit both our cell therapy and biomanufacturing markets and customers. We are also focused on further developing our ExPERT product portfolio. We're on track for release of our new VLX platform under the ExPERT brand by the end of the year while the market expansion opportunities for the VLX and the large-scale bioprocessing applications will take time to evolve. We're encouraged by the preliminary interest from initial customers. We are constantly evaluating potential market opportunities for the VLX and look forward to updating investors on the evolution of the VLX product road map over time. We launched the R-50x8 processing assembly in September 2021. This exciting portfolio expansion will allow scientists to do more transfections in less time and at a reduced cost per transfection, which will open up new applications for research on our platform and accelerate optimization. We believe this product can attract new customers to the technology in new applications and in earlier stage in their programs, helping us to establish relationships earlier and growing our customer base. We're also investing meaningfully in people and hiring at a fast pace. This year, we have made key hires and announced the important internal promotions discussed on the previous call. We have added resources to our alliance management team as a reflection of increased interest on the part of commercial cell therapy developers to work with us on a more strategic basis. As we look to the fourth quarter and into 2022, I continue to expect MaxCyte to invest and grow headcount in all major areas of the organization. We have a bright future and are investing in the people will help get us there. For example, our sales and marketing team is growing as we see opportunities to move into new applications and geographies Investing and growing our sales and marketing team includes the hiring of James Lovgren as Senior Vice President of Global Marketing. James brings deep experience in cell therapy to the role, and we look forward to his efforts to grow adoption of the ExPERT platform in cell-based research and next-generation drug development. In addition to James, we look forward to expanding the commercial team to support market development and customer engagement. We announced that our Board of Directors has appointed Richard Douglas as Chair of the Board. Richard Douglas has been a Board member since February 2018. He succeeds J. Stark Thompson, who will remain as a consultant to MaxCyte. I look forward to Richard's leadership in his new role, and thank Stark for setting the global foundation as we build MaxCyte. It's been a true honor to work with him, and we thank him for his dedication and perspective. In closing, we have had a strong third quarter as we continue to execute on our financial and strategic goals. We are very excited about our opportunity going forward, particularly in the cell therapy market and believe we are making the right investments to drive growth across the business. I will now turn the call over to Amanda to discuss our financial results. Amanda?
Amanda Murphy: Thanks, Doug, and hello, everyone. As Doug mentioned, we saw very strong revenue growth this quarter with total revenue of $10.1 million, which was up 50% over the third quarter of 2020. This growth was driven primarily by strength in our underlying cell therapy business as well as SPL CARMA related revenue, which I'll dive into in more detail in just a minute. Cell therapy revenue of $6.2 million grew 38% over the third quarter of 2020. Just as a quick background, cell therapy represents a sales or licenses of instruments and sales of disposables to customers that are using the ExPERT platform to manufacture ex vivo based cell-based therapies for human use, whether that be in preclinical, clinical or ultimately commercial use. Despite a more difficult year-over-year comparison related to the third quarter, given COVID-related dynamics, we reported growth in the core cell therapy business that's exceeding our historical run rate. Instrument purchases in cell therapy can often act as a precursor to SPLs as customers first purchase platforms in early-stage programs. So that's encouraging in terms of the potential for SPLs in the future, and we've talked about our burgeoning pipeline in that area. Notably, our cell therapy customers are also less tied to CapEx spending, so to speak. So we're seeing a dynamic where revenue from our core business is less weighted to the fourth quarter as we have seen in the past, given the strong performance we saw this quarter. And that's particularly driven by our cell therapy customers ramping clinical trials. In terms of drug discovery, as a reminder, drug discovery represents sales of instruments and disposables to customers using the ExPERT platform for smaller scale buyer manufacturing applications, such as transient protein production and the manufacturing of proteins, such as monoclonal antibodies, viral vectors, vaccines and for small molecule discovery, and those sales are primarily made to large pharma. Drug discovery revenue in the quarter was $1.9 million, which was down 5% over the third quarter, but slightly up on an absolute basis over the second quarter. Drug discovery revenue was notably strong in the third quarter of 2020 as people got back to work after the lockdowns of COVID. So we had -- also had a more difficult year-over-year comparison in that segment as well. Ultimately, drug discoveries become a smaller part of our overall revenue mix, given the strong growth in cell therapy. The shift in revenue mix towards cell therapy has been consistent over the past 5 years, and we saw that again this quarter with cell therapy representing 77% of revenue, excluding milestones and drug discovery representing just over 23% of revenue excluding milestones. That said, we are encouraged by the sequential uptick in the drug discovery business versus the second quarter of this year. It's a business that's been more challenged over the past couple of years, driven by COVID and also a more challenging environment. So we're cautiously optimistic regarding the impact of some of the multi-vial PA introductions that we've made over the past couple of years that serve to lower the per transaction cost for customers and also have had active efforts to expand academic collaborations with translational centers that seem to be gaining traction. We reported $2 million in CARMA related revenue from our SPL customers in this quarter as compared to $0.3 million in the third quarter of 2020. As Doug mentioned earlier, we recognized SPL CARMA related revenues from some of our customers earlier than we had anticipated, and these were made up of multiple milestones from customers. Surprises like this are encouraging, and again, in our view, a testament to the value that MaxCyte provides to our partners and the uniqueness of our revenue model and our ability to participate in downstream economics of our customers' programs. It does also demonstrate the difficulty we face in predicting the timing of SPL revenue as these are predicated on our customers' clinical successes and regulatory process, given the early stage nature of our cell therapy customers pipeline. So we do expect timing of milestone events to be lumpy for the near-term until we see SPL partner pipelines mature and as the number of SPL partners and active programs continues to expand. We'll do our best to provide visibility into SPL related revenue potential over time as the milestone that continues to grow. We continue to be encouraged, however, by the potential of SPL related CARMA revenue over the next 12, 18, 24 months, particularly as our partners progress, enter and move through the clinic and given the potential for approvals even in the next couple of years. So we anticipate a growing and more broad-based revenue stream related to the SPLs over the long term. Moving down the P&L. Gross margin was 91% in the quarter versus 89% in the third quarter, with the difference being driven almost entirely by milestone revenue. So excluding milestone related revenues, gross margins were flat relative to the second quarter of last year. Total operating expenses for the third quarter of 2021 were $11.6 million compared to $8.9 million in the third quarter of 2020. This increase was primarily driven by increases in headcount. As Doug mentioned, we are expanding in many areas in the business in terms of adding resources as well as growth-based -- stock-based comp, which was driven primarily by the increase in our stock price. And as a reminder, there were no meaningful CARMA-related expenses in this quarter. As Doug mentioned, we are making and plan to continue to make increases in investments in many areas of the business. And we saw that this quarter, R&D was up 36% over the last year's quarter, and that's excluding CARMA-related expenses. Sales and marketing was up 58% over a year ago. And again, the primary goal here is to take advantage of the opportunities we see to accelerate organic growth over the next few years that we've talked about. We expect this investment to continue to ramp into 2022, primarily driven by additional headcount and overall investment in operations, particularly around investment in manufacturing and marketing, product development, and we can talk about this more in the Q&A. We are coming into the end of 2021 and into 2022 with a very healthy balance sheet. We have total cash and short-term investments of $256 million as of the end of the third quarter and no debt. Lastly, we wanted to update our fiscal year 2021 revenue guidance given the strength you're seeing in the core cell therapy business and drug discovery markets year-to-date. The success of our cell therapy partners this year has shifted the typical seasonality. We normally see, as I mentioned, where we normally see revenue heavily weighted to the fourth quarter, which is more driven by CapEx and end of year budget cycles. As you can imagine in clinical trial, timelines are less correlated to these dynamics, and we've seen some of our partners ramping ahead of progression in the clinical trial and clinical trial progression and so we are encouraged by that progression, but it does change the seasonality a little bit for this year. As a result, we expect total revenue growth for the year to be greater than $33 million. This implies growth of roughly $26 million, so slightly ahead of where the beat in the quarter would put the numbers for the year versus our prior target of greater than $30 million. This does include SPL CARMA-related revenue. As it relates to our expectations for CARMA-related revenue in the fourth quarter, we would guide you to think about the magnitude is closer to what we saw in the first and the second quarters. Again, timing of these SPL milestone recognition that data points can be hard to pinpoint. So we continue to track above our 5-year 25% revenue CAGR for the full year, and we're encouraged by the strength in our core cell therapy business. I will just note cautionary language around any meaningful changes in COVID. We obviously are assuming status quo as it relates to COVID. And I'm sure many companies are making the same comments that wanted to make that caveat. With that, I'll turn it back over to Doug.
Douglas Doerfler: Thank you, Amanda. We remain excited about the opportunity to lead the industry forward as the premier cell engineering platform technology, supporting the development of advanced cell-based therapeutics. Following the successful completion of our NASDAQ IPO, we were pleased to report strong third quarter results and update full year guidance. MaxCyte remains well positioned for growth, and we are excited about the opportunities ahead.
Operator: [Operator Instructions] And our first question is from Julie Simmonds from Panmure Gordon.
Julie Simmonds: Well done on an excellent quarter. Quick question on, firstly, the VLX. Just wondering in terms of sales because clearly, it's got sort of application in both drug discovery and cell therapy applications. Is that going to be a sale or a license opportunity when you get that to market?
Douglas Doerfler: Well, Julie, thanks for your continued support, and I appreciate your comments. So the VLX is on track to release it in the -- by the end of this year, December of 2021. You're right, it's going to be in both the cell therapy space for allogeneic stem therapy and also in the drug development space for rapid production of monoclonals and also for certain viral vectors production in suspension cells. We're working through the value pricing model for those applications. They may, in fact, be different. I would expect that we will have a kind of a hybrid model, some sales and some leasing and some licensing depending upon the application, but we're kind of working that through, and we'll be rolling that out as we become more comfortable with the full product launch in 2022.
Julie Simmonds: And another one just on recruitment. Clearly, you're sort of scaling up various different parts of the business following the NASDAQ IPO, which is all very encouraging. Are you finding there are any areas where it's more difficult to recruit than others? And is that a limitation on how fast you can grow at the moment?
Douglas Doerfler: Yes, it's a challenge. We're obviously, having a NASDAQ symbol now, moves us up in the popularity, if you will. So I think people are recognizing us and they can find out more information about us, which is good. Most of our work is in -- we're hiring in process development. We're hiring in sales, in marketing. Unfortunately, over the years, we've been able to garner really excellent reputation in the field. So it's never easy to find the right kind of people, but we're building out our recruiting resources. To answer your question specifically, I think in the process development area, it's testified people. I think in the sciences, it's difficult because we're seeing quite a bit of investment coming into the space, and there aren't a lot of people with a lot of experience in cell therapy. I think that plays to our strength because we have a very, very strong team from a commercial perspective. So on one hand, it's a challenge from a recruiting perspective, but on other hand, from a marketing and sales perspective, we think that's an advantage that we can bring to the marketplace by helping customers solve their problems.
Operator: And our next question is from Max Masucci with Cowen & Company.
Max Masucci: Nice quarter. So to start, nice to see the sales leadership higher, along with some other hires in the commercial organization in recent quarters. In Q3 product revenues beat, you've now signed 4 SPLs this year above the original expectation of 3. So could you give us your latest view on the sales targeting strategy in terms of customer types and applications and the amount of focus that you're committing to new customer wins versus same customer growth?
Douglas Doerfler: So Max, it's -- I think it's -- our view is it's just more the same. We're expanding our -- of building the market, more specifically in this digital world. I think that's one thing. I think we're also finding a lot of opportunities with our existing partners as they expand their programs, that's an indications -- that's an applications. So that's exciting. You'll be seeing some work that we're doing and attracting earlier stage cell therapy assets onto the MaxCyte platform. I think you saw some of that with the release of the ATx about 2 years ago. And the launch of a number of additional disposables, which process assemblies, which reduce the transfection costs for these earlier stage companies and allows them to come onto our platform in a more economic level for them to be able to afford in their early stages of development. So I don't think we're really focused on any one particular area. I think we've got a really robust pipeline. And part of our job really is to make sure those companies are in the pipeline and find the new assets that are being developed both in universities and in a number of these early-stage incubators.
Max Masucci: Great. On PAs, you launched the R-50x8 PA in September. You've also launched a number of other processing assemblies in the past, say 6 months. Understanding it's still early, can you speak to the demand you've seen for some of the more recent PA launches? And maybe just any tests that drove the strength in the Razor-Razorblade model during the quarter?
Douglas Doerfler: Yes. So one thing we do when we launch disposables or in processing some of those, as we do -- we're careful in terms of the rollout to ensure that we can support the customers, and we have the inventory and we can build out that business. And so we're doing quite a bit of that, which is important. We're seeing pretty much across the board increases in PA sales. So I mean, if you have any further thoughts about that split, but I think just across the board, we're seeing really strong growth in the business, both in PAs and then instruments and the licenses.
Amanda Murphy: Yes. I would just add that the new PA launches in the past couple of years have really been focused on the drug discovery side of the market, as Doug mentioned, in terms of -- they're multi vials, lowering transfection costs, and we have more to come there. And so I think that's contributed to better results on the drug discovery side. And we mentioned we're cautiously optimistic there in terms of the impact. We have a road map that, obviously, we're working on it but we haven't disclosed per se in terms of cell therapy as it relates to PAs and trying to find the sweet spot for the various applications. You had asked earlier about some of the SPLs that we've added this year, and we continue to expand the types of cells we're using. So a couple of the folks that we added, for example, working in NK cells, and so we're always thinking about that in terms of our PA launch planning going forward. You can imagine that we're keeping that close to our chest at this point as it relates to cell therapy. On the cell therapy side, the strength came -- it was a strong quarter generally, but we saw a particular strength on the instrument side between the sales and the leases. So the lease is encouraging in that. That's recurring revenue, right? Because once you're part of the SPL, then that becomes an annual access fee, so to speak. So the more that makes up of our installed base, sort of the better from a visibility, recurring revenue standpoint. And then on the sales side, it does give us visibility into future SPLs, meaning a lot of our partners are buying initially. And then as they move forward into the clinic, getting tied in enabling studies. That's where they start to convert. So encouraging all around. And I think stay tuned on the cell therapy side as it relates to some new PAs there, again, thinking about sweet spots of applications.
Max Masucci: That's great. If I could just maybe sneak one more in. Is there any feedback you can share from users of the first generation VLX instrument that's being used during the early access period? And then second, just if you look at the road map to getting that instrument launched, are the final adjustment to the interface, the -- to standardize the instrument sort of done and just gearing up for the launch? Or are there still some technical factors that you're solving ahead of the launch?
Douglas Doerfler: Are you talking to me? Can you rephrase the second part of the question, Max. Is that around the PAs or is that something different?
Max Masucci: Yes. So just the road map between now and when the VLX is officially launched broadly. Just curious, yes, if there are still some technical factors or final adjustments you're making to the technology? Or if it's just gearing up ahead of the commercial launch?
Douglas Doerfler: Yes. So the first part, I mean, we spend a tremendous amount of effort with the customer. And so our team is out there really understanding in a very intimate basis what our customers need to do their work and expand the applications for our technology. And I think we've been quite successful and frankly nailing it, finding out exactly what the customer needs are and delivering it to them in a timely manner so they can utilize the PAs. On the VLX side, we haven't released yet. And I would -- I think I have to tell you that there's always some last-minute changes that you're making when you're about to release a product. And I don't think any of these are major technical issues. It's more fine-tuning for manufacturing management and for supply more than on the basic PAs themselves for VLX.
Amanda Murphy: I just want to add one thing and just your typical CFO here. So the VLX has been -- so we're clear, the VLX has been on the market. What we're doing now is bringing it under the ExPERT brand, which involves things like improving the user interface and thinking about design and what not. And it really puts us in the potential for entering new markets entirely in large-scale bioprocessing application. So I would think about this as more of a release of that under the ExPERT umbrella. And then from there, we've got to build out data to support large-scale applications like transient protein production and viral vector manufacturing. So we're encouraged by the interest there from early customers and have been. I mean, otherwise, we wouldn't have made the choice to bring it into the ExPERT brand in the first place. But it's definitely a longer-term revenue vector, so to speak, for us since it's newer markets. And as Doug said, it could be something that could play a role in cell therapy as these businesses scale. But again, those markets are still early stage. So does not -- so that we get ahead of ourselves. We're excited about the product. Have seen obviously early interest or we wouldn't have been investing in it and I think we can see some addressable market expansion permit, but just to put that caveat on there.
Operator: And our next question is from Dan Arias with Stifel.
Evan Stampler: This is actually Evan Stampler, on for Dan. Obviously, you spoke to this, there are a couple of data points that came out in the quarter that clearly kind of spooked the market in terms of the outlook for cell therapy. Just kind of wondering if like in your conversations with your customers or just people in the industry, if you've seen any slowdown or even acceleration in activity or kind of any change in sentiment in the near term? And then kind of longer term, if you think that -- I mean, I guess, these were -- you kind of always predicted that there would probably be some kind of ups and downs. But longer term, I mean, do you envision this having any impact on -- not on the outlook, but the potential for longer time lines to market and then potentially just kind of longer time line for you guys actually getting milestones just because of the regulatory backdrop?
Douglas Doerfler: So let me take a crack at this first and then Amanda can fill in the blanks. First off, I think -- so we're still in the very early stages of these advanced cell therapies. So I think we've established that. Secondly, manufacturing -- focus on manufacturing is huge. And our sense is that has been kind of the tone of the last year or so that we need to make sure that we're better characterizing these products that we're being able to measure potency more, and we can manufacture them on a consistent basis. So those are 3 important aspects of manufacturing that MaxCyte can actually contribute to. And we think that, that issue -- those issues will be a good way for MaxCyte to build our business out because we think that's a good trend for us to help enable the industry. We're seeing a lot of interest from our partners and making sure they get this right and spending more time on product characterization, which again benefits MaxCyte. I haven't seen very many folks move away from programs. I think we're trying to rationalize what they have in the clinic. There's clearly a lot of cell therapies going after some of the same targets. And I think there's going to be not only a clinical rationalization, but also commercial rationalization with some of these products coming through.
Amanda Murphy: Yes, Evan, I would just add, as Doug said, it's early, but we've also seen some positive surprises. I mean we obviously spoke to some of the milestones we received this quarter. While we can't speak to them specifically, we aren't expecting them, so that would imply that at least some of our partners are moving forward more quickly than we thought. And I think if you look at some of the PR in the space around investments that are being made, there's so quite a lot going on, especially partnerships between even some of our own SPL partners. So not -- to not take clinical hold seriously as we should but I mean, it happens. It's happened before with other players. And so I think there's puts and takes here, just given the early stage nature. But I think certainly, we aren't seeing any change in priorities. I mean, we continue to sign the SPLs and I think to us, that's our key scorecard, right, in terms of -- is the space moving forward? Are we generating downstream economics? And are we seeing that pipeline continue to grow, which we are. So that's helpful.
Evan Stampler: Yes. No, that's super helpful. And just, I guess, maybe an easier question for you guys. Just for the quarter, you mentioned kind of the strength in the instruments, which I saw in terms of kind of pull throughs in the quarter, I mean, how did that kind of trend versus 1Q and 2Q? And then in terms of the mix between leased and sold, is there anything notable there or any change there?
Amanda Murphy: I can take a step. We haven't changed the ranges that we put out there in terms of pull through. So generally, as we said in the commentary, cell therapy continues to be a bigger part of our business. It's faster growing and generally has a higher pull through. And that can really fluctuate, though, depending on where our partners are in the development cycle. And with -- I think we've said, we'll update these metrics towards the end of the year at the end of the year, where we talked about 75 programs and 15% of those, give or take, are in the clinic, obviously, with 3 new SPLS. Those numbers are likely to be higher but so -- and it's still relatively small. And again, we've talked about high usage in the preclinical setting with lower volume PAs and then that sort of pulls back with the Phase I, where obviously the patient population is smaller, depending on the indication, of course, and that ramps up, and we're seeing that same trend and over time, that starts to normalize. I would say we're still within the ranges that we've given but we haven't really formally updated anything there. And in terms of the leases, just with the SPLs we signed and given that the instruments that fall under those SPLs are leased and they're not leased in the traditional way, but it's more of a -- I like we've talked about an access fee. Those are becoming a bigger portion of the installed base, so to speak, as a percentage, and we saw that again. But yes, it's slow but sure, right? Because obviously, again, there's a smaller end of folks that are in the clinic and that's helpful. So we haven't given specific numbers, and we'll update some of that information at the end of the year as we did last year. But those are the sort of qualitative trends we're seeing.
Evan Stampler: Okay. And if I could sneak one more in here. I know you're not going to talk about the CARMA-related revenues for the quarter, but not really giving specifics, but can you just kind of go back, I guess, just repeat kind of what you said. I think you said, you said -- did you give the number of customers that the revenues came from. And I think you also talked about having some of them of your customers actually had multiple milestone payments. Could you just kind of clarify or reiterate really just what you said -- you've said already?
Amanda Murphy: Yes. I'm sorry if that was confusing. What we were just trying to say was that the CARMA related revenue didn't come from one customer. So we didn't specifically say whether there was multiple revenue received from the same customer. We just said it's not off of 1. So there was more than 1 milestone received in the quarter. That's kind of the extent of it. Obviously, we just have to be careful what we say there and we did say that we weren't -- I mean, I think last quarter, we said we were expecting $1 million for the year, which would have been implied about $0.5 million, whether you put it in this quarter or next quarter. And so obviously, we saw a bigger number. That was a surprise to us in terms of the progress that our partners are making, and that's definitely encouraging. And then we said that we're expecting something similar in Q4 relative to Q1 and Q2. So, you'll find similar numbers that you saw in the first half of the year, each quarter. So we're still seeing progress from our partners, maybe not quite as much as we saw this quarter. And then next year, again, as we see the stack build, we're I think we're -- depending on how this -- how our visibility trends than it is difficult because you're talking about partners and the FDA, and you can imagine that's not easy for a company like us to predict exactly where that falls per quarter, so to speak. But the more we sign, the more programs are stacked within each time period and so we'll be able to guide, I think, moving more so as we go along here just because there'll be less risk of something raised in quarter-to-quarter, but that's just the reality we face. As you can imagine, in the -- serving a biotech world.
Operator: And our next question is from Matt Larew with William Blair.
Matthew Larew: It was interesting to see the entire SPL because I think that was the first confirmed NK cell therapy program. And I was curious, you referenced the burgeoning pipeline on the SPL partner side. So just curious if there's been any notable changes to the composition of that pipeline with respect to cell types approaches or indications?
Douglas Doerfler: Yes. So I think we mentioned the last time, Matt, that pipeline is a bit been more robust than it is. It just continues to build and grow. I think that the way that I can look at it, I think we look at it. If you look at companies, I think this was sort of been financed in the last couple of years. And their approaches, whether that be different cell types or different loading molecules, different indications. I think we're tracking pretty well to the broad array of approaches that are going on in these advanced cellular therapies. So that's -- it's pretty exciting for us, right? It's a lot more allogeneic than it was a few years ago. We're seeing different kinds of cell types now begin to -- moving into non-oncology indications, where they're going to be quite exciting. And so I think from a -- just a broad view, we're tracking pretty consistently where this entire field is moving.
Amanda Murphy: And the cellularity also has an NK based approach as well as part of the pipeline.
Matthew Larew: Got it. I guess we can see that, that was confirmed. And then just thinking about the pacing of the team additions here over the next 12 months, obviously, new sales that are in place. But I guess, anything to think about in terms of next year in terms of pacing of team addition throughout the year?
Douglas Doerfler: Well, we are building the marketing team. We mentioned that James Logren just joined us about a month or so ago, it comes with just a tremendous amount of experience and energy and understanding of the global markets. So we're quite excited for him to be on. And part of what his agreement is to help us build a scalable marketing organization that was lined up with Ross' leadership in building a global and scalable sales organization. So we're in the process of both of those things. I mentioned that we're building out bioprocess development labs inside MaxCyte to better line up with what our product customers are using our products. And as they move both in cell therapy and bioprocess and so excited about that. There's obviously some SG&A that we're needing to build just because we're now a public company. And another major area of investment that will be in the manufacturing. So we see a real opportunity for us to become more basic in certain elements of the process and assembly manufacturing, more flexibility and instrumentation. As you likely know, we're pretty basic in instrument manufacturing. So we want to bring more of that in-house, which will allow us to have better control over quality and also more flexibility as this continues to develop over the course of the next several years.
Operator: And our next question is from Mark Massaro with BTIG.
Vidyun Bais: This is Vidyun on for Mark. So can you discuss pipeline initiatives as it pertains to updated disposables. I know you had touched on cell therapy. And if there's any room to improve on transfection efficiency or any other unmet demand you're sensing on the customer side?
Douglas Doerfler: Yes. I think we got -- it's a great question. I think we're always pushing to improve the efficiency of our process in the scalability of the process, both the initiatives and disposables. We're also spending quite a bit of time to ensuring that they have more utility. Our R-50x8 is a really unique product that can do -- it's a strip for 8, but it can also turn into a 96 with extraordinarily high consistency across the world, which is really important in certain aspects of discovery, both in small and large molecule discovery, but also in cell therapy development. Another area that we're focused in right now, and I think we talked about this in our kind of use of proceeds is how we can better integrate the work that we're doing with pre and post electroporation processes so that we can provide more of a plug-and-play, if you will, solution to our partners and have them integrate our operation into a larger, if you look close in which many, many companies are able to do in the near term.
Vidyun Bais: Okay. Great. And if I could just add a quick follow-up. Given the revenue mix shift towards cell therapy, what types of cell therapy clinical trials are you involved with or enabling at the moment? And how do you see this space evolving moving forward.
Douglas Doerfler: So I think, Amanda, can I talk about some of these public ones? I think we have talked about a relationship with CRISPR, our relationship with Precision and products that are being developed by both those companies and they go by MaxCyte's technology. Currently, we've worked with Editas on one of their products is also identified with us for -- and also appear on this company and be on it. And so we're seeing progress across the board in all those programs. We really don't get specific about any programs that are not publicly disclosed by our partners and so the ones we talked about are publicly disclosed by our partners.
Operator: [Operator Instructions] And our question is from Jacob Johnson with Stephens.
Jacob Johnson: Congrats on nice quarter. Maybe, Doug, going back to something you mentioned earlier, you talked about working with earlier stage customers. Can you just talk about your efforts to work with large academic medical centers and maybe how important that is for you to kind of build out the beginning of the funnel?
Douglas Doerfler: Great question, Jacob. It's always been important for us, as you can imagine, most of the advanced therapies related to cell care have come out of academic centers. And we're continuing to see that trend continue. So what we have been doing is more formalizing those relationships with these groups, and we've had long-standing relationships with some of the major active end translational medical centers, but we also see the opportunity for us to expand our footprint into a number of newer ones that have kind of gotten on the bandwagon, if you will, building out centralized facilities, core facilities for cell therapy, a lot more, a lot more interest, again, as I mentioned before, in new applications of cell therapies outside of oncology, which is really exciting. And so we're spending -- we're hiring people to better understand how we can build those alliances with the large translation academic centers globally, what their requirements are. And I think we've got a pretty good handle on that. And part of our expansion process is really to make sure that we've got that properly resourced, so we can work with these companies, work at these PIs when they're really getting very early in the ideation, if you will, of these new cell therapies. So that's the part. The trick to this is that we also don't want to get involved in the kind of pure academic research. So that's -- there's a fine line there that we're really working through to make sure that we don't get in and so to have a whole academic research area really focusing on transactional therapeutic centers and the work that can be directed toward a potential commercial product?
Jacob Johnson: Got it. And then just Amanda, 2 kind of nitpicky financial questions. R&D ticked down sequentially this quarter. I assume that's related to some CARMA expenses rolling off? And I would assume that should start growing from here. Can you just kind of confirm that? And then also, I think CapEx ticked up a little bit this quarter. Is that kind of a good run rate to think about going forward given the capacity build-out that you're pursuing right now?
Amanda Murphy: Yes. Good question. So we did, as we mentioned, have the roll-off of CARMA complete in the first half. So that's part of it. I mean, from here, just generally, I would think about -- obviously, we've talked about a number of areas of investment, particularly in headcount across all 3 buckets of operating expenses. Stock-based comp is year-over-year also something to think about, so the stock has moved. And then as we build out some other areas in R&D. So I think I would think about it as not necessarily a run rate from here, but investment from here, particularly on the headcount side, which is becoming obviously, a key for us as we think through our strategic planning. And we've talked a lot about how we see the potential to accelerate organic growth and growth in general. And obviously, that all starts right with building out the team. So I don't know if that's helpful, but that's how I would think about it. We also had obviously a pickup not in R&D, but in PubCo expenses and things like that. So I would kind of look at this quarter as the base with further investment from here, given the opportunities we see. I'm trying to think if there's anything else in the OpEx expense that would be like not recurring. There's probably some small stuff that I would think about it as growing. And then in terms of Capex, yes, so we're obviously investing in manufacturing quite a bit. We haven't guided to what that looks like for next year, but we're expanding on the manufacturing side. And to the extent that we think about it in a 3 to 5 year or 3 -- long-term horizon, even some of the initiatives that we are -- have talked publicly about as far as moving up and downstream, whether that be internal build or buy, obviously, that likely will affect CapEx to some degree. So again, it's sort of -- I would kind of think about this quarter as a good base outside of CARMA and then stock-based comp being a factor that you have to kind of think through. And then from there, just investment across the board, if that's helpful.
Operator: I am showing no further questions at this time. I would now like to turn the conference back to Mr. Doug Doerfler.
Douglas Doerfler: Well, thanks, everybody, for joining us today. Again, an exciting time for our company, and we appreciate your support and your excellent questions. And we look forward to updating this group on our Q4 progress on the next earnings call. So thank you very much. Stay safe, and enjoy Thanksgiving. Thank you.